Isabel Troya: Good afternoon, everyone, and welcome to Logista's 2024 Results Presentation. I'm Isabel Troya, Head of Investor Relations for Logista. Today, Íñigo Meirás, our CEO; and Pedro Losada, our CFO, will walk you through the highlights and the results obtained during the fiscal year 2024. [Operator Instructions] Now Íñigo will go through the highlights of the period. Íñigo, if you may, we can proceed with the presentation.
Íñigo Amusco: Thank you, Isabel, and good afternoon to everyone connected today for our results presentation. Before we present our annual accounts, I would like to address the recent incidents in Valencia in Spain, caused by DANA and extend our deepest condolence to the families affected by this catastrophe. At Logista, we continue monitoring the situation, providing support to our employees affected by this tragedy while activating social actions for our different businesses to help people, however, we can. We are lucky to confirm that we have not suffered any personal losses within our employees or their families. And now, moving on to our annual accounts, and we'd like to start by going through the main highlights for the period. During 2024, we have achieved a solid set of results, thanks to the growth of different business lines, the profit on inventory recorded for the period and the evolution of interest rates. We have continued our progress in relation to our diversification strategy, maintaining the ratio of nontobacco related economic sales higher than 50%, and advancing with the integration of the acquisitions made. Thanks to the positive performance, we will propose to increase the dividend at the next Annual Shareholders' Meeting based on these results. In relation to our ESG commitment, as mentioned during the first half presentation, we have published new targets based on '24, '26 sustainability plan. In February, we amend our credit line agreement with Imperial Brands to partially hedge the potential interest rate risk for the next 3 years. In the following pages, I give you further details of these main highlights. The '24, has once again, been a complex year in terms of macroeconomic and geopolitical environment. Nevertheless, Logista continues to demonstrate the resilience of its business, showing solid results for the period. Within the macroeconomic situation for the year, I could highlight an improvement in terms of inflation, which has substantially decreased compared to last year. This moderation has resulted in an interest rate cut by the European Central Bank, which I will detail later while explaining the new terms of the credit line with Imperial. Looking into our results, we have recorded increases in most of our businesses. Economic sales increased by 4% year-on-year, reaching a total of EUR 1,757 million. In terms of the split per area, Iberia reached economic sales of EUR 1.1 billion, Italy reached EUR 402 million and France, EUR 216 million. Adjusted EBIT recorded an increase of 5% to EUR 385 million. This figure includes a relevant profit on inventory similar to 2023. For this year, change in tobacco taxes and prices led to a total profit on inventory of EUR 35 million. The year-on-year adjusted EBIT growth, excluding this profit on inventory, is aligned with the guidance of the mid-single-digit growth, excluding inventory valuations, which we published for 2024. Net profit reached EUR 308 million, a 13% increase comparing to 2023. I would also like to mention the net financial income of EUR 93 million for the year, thanks to the higher average interest rate for the period compared to the previous year. Later on, we will dive deeper into each of the regions. We have continued to implement our diversification strategy aim to reducing Logista's exposure to tobacco, ensuring the resilience of the company in an environment where tobacco continues to decline over time. We will continue to benefit and extract the highest value from our tobacco businesses while expanding into other business lines in different countries. During the period, we secured 2 new acquisitions. The first was the acquisition of SGEL Libros in Spain made by Logista Libros, our 50% subsidiary with Grupo Planeta focusing on distribution and logistics for the book industry. This strategic transaction consolidates our position as the leading independent book distributor in Spain. It's held as an important editorial client base to our catalog. Secondly, we completed the acquisition of Belgium Parcels Service, BPS, a company specializing in the urgent distribution of pharmaceutical products in Belgium and Luxembourg. This transaction expands our business into the Benelux area, while strengthening our position in pharmaceutical distribution and the courier segment. Furthermore, during the year, we completed the acquisition of the remaining minority stakes in Speedlink and Transportes El Mosca, leading to 100% ownership of all of acquisitions made today. The 6 transactions we have secured so far, as part of our diversification strategy have allowed us to surpass the 50% threshold in economic sales from nontobacco sources. We continue to seek new transactions in complementary and synergetic businesses, which will allow us to continue execution of diversification and internationalization strategy. During the year, we have continued to work in extracting all the synergies from the acquisitions made today, particularly those that have clear business combinations with our existing businesses at Logista. In long-haul transportation, we have continued to install security systems in the trucks to increase the number of combined routes between freight and El Mosca, reaching already 150 trucks and 200 semitrailers. We have also worked on increasing the routes with Logista Parcel within the Iberian Peninsula. On other cost savings measures, we have optimized acquisition through tendering bulk purchase between different companies within Logista, reaching a better unitary tariff given high volumes. A couple of examples are the condition obtained in vehicle leasing, bulk acquisition for pallets or preventive maintenance services. On sustainability matters, we promote the consumption of biofuel directly from El Mosca petrol supply in our warehouse in Murcia. For parcel transport, the integration between Logista Parcel and Carbó Collbatallé is performing well. And we have continued to integrate warehouses in said locations. During '24, we integrated our network for [ Castilla Leon ], Castilla-La Mancha and Madrid area and surroundings. This integration as to those done last year of Galicia, Catalonia, Aragon, Levante and Asturias. We have also achieved synergies with route combinations for temperature control food deliveries. And we have just migrated cargo's business information to our SAP system, centralizing administrative and control processes. In the book distribution business, the most real action taken during '24 has been the closure of the SGEL warehouse, transferring all our business to our Logista Libros warehouse, obtaining clear synergy costs for the business. We will continue to work in the implementation of the synergy spending for the coming year. We remain true to our dividend policy of distributing at least 90% of our net profit. Thus, we will propose a total dividend for 2024 of EUR 2.09 per share, amounting to EUR 277 million at the coming Annual Shareholders Meeting. And this represents a 30% year-on-year growth compared to last year's dividend. This dividend includes the EUR 0.56 per share already paid last August and a complementary dividend of 1.53%, subject to the AGM's approval. The main levers to enable the final dividend include the profit on inventory recorded, the relevant financial income received and the strong operational performance for the year. Once the complementary dividend for '24 is distributed, we will have already distributed more than EUR 1.6 billion since our IPO back in 2014. Now moving on to the next slide, I will give you further details on our next sustainability plan for '24, '26. But before detailing the plan, I wanted to highlight some of the governance changes we have done during the year. The changes in both reducing the Board member's term and avoiding any Director from chairing the Board itself and a commission at the same time. And we have also set the obligation for Independent Directors to put their office at Board disposals after 9 years of term. Now within the plan itself, in environmental matters, we remain committed to decarbonizing our fleet, given that 97% of our emission results from transportation services. We renew and update our sustainability kilometers target, increasing the scope to include also Transportes El Mosca and cargo. And with a new target of reaching 90% of total kilometers rolled with Euro 6 vehicles, and as of year-end, we have reached 84%, in line with -- to reach our 2026 target. Furthermore, we continue to promote the decarbonization in our transportation segment by using renewable fuel and increasing the kilometers rolled by electrical vehicles, dual trailers or modal transportation, combining sea freight and train transportation with traditional long-distance road transportation. In circular economy matters, we have started an initiative to recycle NGP devices by installing recycling boxes in tobacconist and managing the entire recycling process. This initiative was first launched in Italy with an agreement with the Tobacconist Association and the Ministry of Health. Only in Italy, we have already reached close to 25,500 tobacconists within the recycle initiative. As for Spain and France, we have recently launched the project. And among the 3 countries, we already have close to 31,000 points of sale added. In social matters, we consider talent to be one of the key elements to achieve success and to secure competitiveness within the business. This is why we have set a target related to talent within critical positions of the company. The target has been set to reach a 95% talent density rate by '26 while, at the end of '24, we stand at 93%. Another key area within the social strategy is diversity in general. And within our employees, this focus on diversity has led us to set a new target of reaching 30% of women within upper and mid-management by 2026. We also focused our social strategy of helping vulnerable groups, particularly through agreements with foundations and other entities focused on this type of social action. During '24, we have signed new agreements with the Foundation of Real Madrid, which helps people with disabilities, integrate through sports [ en La Casa ], which aims to increase inclusion of vulnerable groups and disabled people within the work place. Lastly, the health and safety of our workers is one of the pillars of our social strategy, where we focus on our future with 0 accidents while promoting our employees wellbeing. In governance matters, we introduced a requirement to include ESG criteria within the purchase process for all tenders, replacing [indiscernible]. These metrics weighed 15% of the total evaluation process, securing the relevance of ESG while contracting. Furthermore, we have set a goal to evaluate all suppliers with our procurement volumes about EUR 10 million by 2026. This threshold will represent around 80% of total procurement within Logista. Cybersecurity is a key element in the governance strategy, and we have set several programs to increase awareness while implementing all the necessary tools to minimize the risk of potential cybersecurity attacks within the company. The final element within [indiscernible] related to the implementation of the due diligence on supply chains policy and the human rights policy. As mentioned at the beginning, during the year, we have made some amendments to the credit line agreement with Imperial Brands to hedge the risk of interest rate falls for the coming 3 years. In this new agreement, we'll split the credit line into 2 separate tranches. The first covers the EUR 1 billion and is remunerated at a fixed rate of 2.865% plus a spread of 75 basis points, totaling 3.615%. The second tranche covered the remaining loan, about EUR 1 billion and [ up to ] EUR 3 billion at a variable rate of every 6 months plus a spread of 75 basis points with a 0 floor to the Euribor. During the fiscal year, considering that these new terms came into effect in June, the average rate at which our credit line was remunerated totaled 4.1% plus the spread of 0.75, reaching a total average of 4.85% for the year, resulting in EUR 103 million in financial income. With this renewal, we secure an optimal remuneration of our cash position for the coming years, while we partially cover the risk of interest rates falling during the next 3 years. Now I will hand over to Pedro, so he can give you further details for each of the regions and businesses. Pedro?
Pedro Agustín Losada Hernández: Thanks very much, Íñigo and good afternoon to all of you connected today to our annual results. Starting with Iberia, our largest market, we have obtained solid results in all major segments with economic sales increasing by 5% to EUR 1.1 billion, and adjusted EBITDA increasing by 2% to EUR 202 million. Digging deeper into each segment in the tobacco and related products, tobacco volumes during the period remained stable. Even recording a slight increase of 0.4%. In particular, traditional tobacco volumes in Spain decreased by 0.6%, while in Portugal, volumes recorded an increase similar to roll your own and others, which also increased in both countries. During the year, the manufacturers increased tobacco retail price by EUR 0.20, EUR 0.25 per package, resulting in an estimated profit on inventory of EUR 21 million compared to the EUR 27 million for last year. In the transport segment, economic sales reached EUR 726 million, recording a 7% year-on-year increase despite the slowdown in European demand, which affected long-distance transportation results. Furthermore, long distance was also partially affected by the conflict in the Red Sea, resulting in a significant increase in transit time. I would also like to mention that the climate during the period didn't favor the production of fruits and vegetables, resulting in less abundant harvest campaigns in Spain. In relation to the rest of the transportation segments, we have seen an increase in deliveries, both in [ Parcel Carbó ] and in Nacex, recording healthy single-digit growth to which we should add the new contribution of BPS in the courier segment. In pharma, economic sales increased by 10% to EUR 102 million by increasing services provided to existing clients and seeking new clients within both the pharmacy and the hospital sectors. In particular, during the year, we have signed agreements with 20 new laboratories, including STADA Laboratories, [ Avoca ] or Stealth Pharma. Finally, our publication segment recorded an increase in economic sales of 4%, thanks to the full contribution of the agreement signed with RBA last year. RBA is a leader in collectibles and magazines in Spain and the agreement states Logista are the sole distributor in Spain. Moving on to Italy. Economic sales reached EUR 402 million after a 9% increase versus last year, and adjusted EBITDA in Italy reached EUR 121 million after a 14% increase against the previous year. In 2024, similar to last year, the increase in volumes of hits compensated for the slight drop in traditional tobacco, reaching a total volume increase of 1.1%. In Italy, manufacturers also increased the retail price for tobacco. But in this case, the price variation was a response to a tax increase by the government. For the year, we recorded a total profit on inventory of EUR 6 million, given the manufacturers' reaction on price compensated for the tax increases. During the year, we started to distribute tobacco in the Netherlands on behalf of one of the large tobacco manufacturers. This business came as an opportunity arising from government changes in tobacco regulation in the country. The new law is part of a long-term plan aimed to controlling and reducing tobacco sales, and the change applying in 2024 restricts the authorized points of sale, eliminating the right for supermarkets to sell tobacco and restricting it to license on POS. Given this change, this large client requested Logista to replicate part of the services provided in Italy, distributing the tobacco and NGP products to license point of sale in Holland while handling the logistics in the warehouse facility. To provide the service, we leverage Speedlink's infrastructure. Looking on to the convenience distribution segment. In November, we started a new business line linked to the recycling of NGP devices after an agreement with the Italian Tobacconist Federation and the Ministry of Environment and Energy Security. We have already installed recycling boxes, around 30,000 tobacconists throughout the country. In the pharmaceutical distribution segment, 2024 represents the first full year for Gramma Farmaceutici, where we have completed the actions to rebrand the company to Logista Pharma Italia. We have also continued to make progress in the integration of IT systems and the commercial development, aligning the procedures and technology with the best practices of Logista Pharma. Moving on to France. Economic sales recorded a decrease of 4% year-on-year to EUR 216 million, while adjusted EBIT for the period amounted to EUR 63 million after the 2% increase. In France, there was also an increase in taxes by the government, like in Italy, which was followed by an increase in the selling price of tobacco by the manufacturers, in some cases, offsetting exclusively the tax increase of EUR 0.50 per package and in other cases, increasing up to EUR 1 per pack. These changes in taxes and tobacco prices had a positive impact of EUR 8 million on the value of our inventories. Looking into tobacco volumes distributed. France continues to show a faster pace in the decrease in volumes distributed than Spain or Italy with around 11% less tobacco distributed during the period compared to the previous year. In the convenience product segment, we continue to register growth in the electronic card business, which is a growing business line in the country. Furthermore, we continue to gain tobacconists who include our software and hardware as cash registers in the shops, adding a new personalized services space with a variety of tailor-made services and information embedded within the Strator machine. Besides, we have also launched the NGP recycling business line, although it is still a very early stage at this point, and we will continue to expand a new tobacconist within the country in the coming months. After giving you details on each region, we will move into the consolidated figures for the period. Total adjusted EBITDA increased by 5% to EUR 385 million, supported by a positive performance of the activities, the strong positive impacts of inventory valuation and a continued effort to contain costs despite the general inflationary pressures. Looking at the differences for the year per item, economic sales grew versus last year by EUR 73 million, backed by the good performance of the businesses in Iberia and Italy. Despite the increase in logistics and commercial costs, we still managed to improve slightly our adjusted EBIT margin versus last year by 21 basis points. Finally, reported EBIT reached EUR 326 million, representing an 11% increase on last year's figure after recording much lower restructuring costs compared to 2023, which was compensated by the capital gains on the sale of the warehouse closed in France last year, following the strategy of -- to optimize the French operations according to its real needs. Bottom line net profit grew by 13%, supported primarily by an increase in reported EBIT of EUR 33 million and an increase in financial results of EUR 17 million year-on-year due to higher interest rates for the period. The European Central Bank had a strategy of interest rate hikes throughout the calendar year 2023 to mitigate the inflationary environment with the last increase recorded in September 2023 to a base rate of 4.5%. On June 2024, the ECB started its rate reduction strategy as a result of the relevant inflation reduction. And after a couple of rate cuts during our fiscal year. We concluded the period with an ECB's base reference rate of 3.65%. Considering the European Central Bank's reference rate for the period up to June 12, 2024, and the average rate of the 6-month Euribor as well as the fixed rate for June 13, 2024 to the end of the fiscal year, the average rate was 4.1%, to which the differential of 75 basis points should be added reaching 4.85%. The average credit line balance during the period was EUR 2,048 million versus EUR 2,079 million in the previous year. Furthermore, the increase in profit before tax translated into a EUR 15 million higher tax expense with a slightly higher corporate tax rate at 26.5% versus 25.6% last year. We concluded the period with an earnings per share of EUR 2.34 versus EUR 2.07 for last year. The positive business performance for the year has led to a 5% increase in EBITDA compared to the previous year. Additionally, financial income collected increased to EUR 101 million compared to the EUR 83 million in 2023, given the current interest rates. On the other hand, restructuring costs paid during the period amounted to EUR 15 million, and normalized taxes reached EUR 124 million. The payments of restructuring costs, including expenses related to the closure of the French warehouse and booked in our accounting for fiscal year 2023. I'd like to emphasize that during the period, we sold the warehouse closed in France last year, which added a further EUR 11 million to the cash flow and which is registered below the normalized cash flow. CapEx for the year amounted to EUR 47 million and it included, among others, investments made in transportation elements, such as the installation of security systems in vehicles or new semitrailers or temperature control systems for vehicles. CapEx for the period also includes IT systems and maintenance necessary for the optimal functioning of the warehouses, such as an optimization of [ picking ] systems. Leases recorded EUR 69 million, closing the year with normalized cash flow of EUR 340 million. We concluded the year cash position of more than EUR 2.4 billion. To conclude, I would like to highlight the performance of Logista in the store market, reaching a new all-time high share price within the period of EUR 28 per share on September 12 and recording a 12% increase in the share price during the fiscal year. Now I will hand over back to Íñigo to go through the closing remarks and our expected outlook. Íñigo, if you may?
Íñigo Amusco: Well, thank you, Pedro, for going through the financial data and the different markets. I would like to share some closing remarks for our fiscal year 2024, where the results reflect the integration of the acquisitions and the good performance of the underlying business, also backed by a positive profit on inventory result of price movements in all 3 regions. We have also benefited from a high interest rate environment despite having started to record rate cuts during the period, for which we have partially hedged our financial income through the new fixed rate tranche of the credit line with our main shareholder. On ESG matters, we have started execution of our '24, '26 sustainability plan with different targets set for its sustainability criteria. And lastly, the diversification strategy continues to progress while maintaining the target of 50% of economic sales coming from nontobacco businesses, which we surpassed last year for the first time. Dividend continues to be a priority for Logista. And even though we continue to look for mid and small-size acquisitions in order to grow the company and execute our diversification strategy, we will continue to distribute dividends according to our policy. In terms of outlook, we expect our business to continue registering sustainable growth for next year when we expect to grow our adjusted EBIT by mid-single digit over '24 number. This expected growth excludes the profit on inventory recorded in '24 and any potential profit on inventory to come in '25. Now we will proceed with the Q&A session. Isabel, please, if you may?
Isabel Troya: Many thanks for the presentation. [Operator Instructions] The first question comes from Banco Santander. How disruptive have the floods in Valencia been for your business? Any relevant impact? Can you give us some color on the impact and measures implemented as well as the assets impacted? Second question is the EBIT performance in Italy this quarter was remarkable, 12% year-on-year growth ex-profit on inventory. What explains the raise in economic sales and profitability in this specific quarter? And the third question is, in Slide 14 on the presentation, it is mentioned the new tobacco business in the Netherlands promoted through Italy team and leveraged on Speedlink infrastructure. Can you elaborate on how this works and quantify the economic sales contribution as well as future expectations?
Íñigo Amusco: Okay. And this is Iñigo Meirás speaking. I am taking the first question from Joao Safara, Santander, regarding the impact of the DANA in Valencia To our operations, okay? In summary, I think that we have 5 facilities in the area impacted by the DANA, one for Logista Tobacco, one for Carbó, one for Nacex, one for El Mosca and one for Logista Parcel, which means that we have conceptually a huge impact in our operations, but in reality, I'm going to the end without any relevant impact from a financial point of view. I think that we have still disruptions in terms of operation in these 5 different warehouses in the area, but with the idea to recover 100% of the operation by the end of this week, most probably next Friday, which means that we were working with a lot of problems on those facilities for 10 years. But in any case, we have the options to divert the volumes on the different businesses, tobacco, pharma, parcel, Nacex and others, and to cover the service from other facilities in the area, mainly from [ Castellon ] and from Alicante. In terms of EBIT -- in terms of eco sales, we have a gross -- we consider a gross impact of around EUR 1.5 million, okay? But the question here is that we are recovering our operation by the end of this week. But in any case, we have at least 52 tobacconists that are in the area, and we don't know when they will reopen the operation, but most probably not by the end of this week. And this is why we are considering in eco sales that negative impact of EUR 1.5 million. And then in terms of measures implemented, I think that as you can imagine, we have the -- all the facilities closed the first 2 days after the DANA, but now we already reopened, partially. You can imagine, we are working on different circumstances. But at the end of the day with a financial impact, which is in the region, in terms of damages, we are considering probably, almost 100% of the damages are covered by the insurance policies. And because of that, we believe that we are now safe, let's say, in the middle of this disaster.
Pedro Agustín Losada Hernández: Okay. This is Pedro Losada speaking. Thanks very much, everyone, attending this call. I'm going to take the second question from Joao, Banco Santander, which is related to the good performance of Italy in the fourth quarter. There's a mix of things, but nothing really extraordinary, things related to good weather, tourism and then a stable market -- nicotine market, quite resilient, both on new generation products and even in the traditional one, has been quite stable. Besides, we have more -- one labor day more than 2023. And if you compare with the third quarter of 2024, we have 3 more labor days. Probably, those mix of things has explained this 12% increase, but nothing, as I said, extraordinary.
Íñigo Amusco: Thank you, Pedro. Regarding the third question and our new business in Netherlands and the tobacco distribution. We already opened the operations in Netherlands in terms of tobacco distribution, mostly focused on the last-mile delivery because in this case, Philip Morris, that we already started to -- were then asking us, why not to help them in the new distribution model in the Netherlands. And the idea is to convince other tobacco manufacturers to join our new operations. And as you already mentioned, we are leveraging the operation on Speedlink infrastructure. In terms of economic sales, the contribution for this coming year, we are considering as an economic sales for the whole year to be on the range of EUR 14 million to EUR 15 million. And in terms of future expectations, we convinced the other largest tobacco manufacturers to join our logistics solution in the Netherlands. We can arrive to a business, on a size to be around EUR 30 million in eco sales terms.
Isabel Troya: The next one comes from JB Capital. Congrats on the strong results. A couple of questions from my side. First one is relating to guidance. If you could please share some color on what business units should be the main contributors to growth? Second question is, on the potential approval of new taxes on tobacco vaping products. I know this is just noise as of today, but any insights from your side will be appreciated? The third is related from -- to the competitive landscape. Interested in having your view on potential opportunities for consolidation in the transportation sector. And final one is on the recent weather conditions, which has already been answered.
Pedro Agustín Losada Hernández: Thanks Enrique, on the first question related to guidance. Well, there's a mix of things obviously related to nontobacco and tobacco business. Remember that 52% of the eco sales comes from the nontobacco, still about 70% of the EBIT is built up with tobacco. We are expecting definitely a stronger growth on the nontobacco business and a type of growth in the tobacco business as we have seen in the last couple of years. On the second one, and it's related to the potential new taxes on Spain, as you said, it's probably -- it's noise -- I don't know, there is noise, but the situation is -- this comes from the transposition of EU directive related to taxes, Pillar 2, and a different type of new taxes in that directive. Now the Socialist Party has proposed also additional taxes related to tobacco. This is a proposal that needs to go through the Congress and to the Senate and probably back to the Congress to get a final approval. We don't know yet whether this is going to happen, it will impact on cigarettes, on cigars, on [ HMV ] and new generation products. If it's as proposed by the Specialist Party, nothing, as far as we know, in terms of the final impact of this.
Íñigo Amusco: Okay. And regarding the third question in terms of the competitive landscape and the potential opportunities for consolidating the transportation sector. Well, as you know, in our strategy, we are not only focused in looking for inorganic growth in transportation sector. We are looking for sophisticated logistics services. Having said that, and concerning the transportation sector, I think that we believe that in the next 12 to 18 months, probably that we'll see -- or we have -- to follow 3 to 5 opportunities across Europe, especially in this case, in France, when we believe that there are 2 or 3 operations coming to the market. Sometimes, so currently by financial investors. Sometimes, family-owned, but with the idea to sell, I might just stick on those. We have to be very active, at least to analyze if those opportunities can fit with our strategy and with our business model. But it's clear that we see that consolidation in the transportation sector is gaining momentum across Europe. That's for sure.
Isabel Troya: Next question comes from Alantra. The long-haul business has seen some disruptions from -- due to political conflicts, the geopolitical conflicts, sorry. Do you expect that to improve going forward in 2025?
Íñigo Amusco: Okay. Yes, that's for sure. There are some disruptions in long-haul business due to the geopolitical conflicts. As you know, Ukraine is now almost 2 years in the map. And then now the conflicts in the Red Sea and the Suez Canal and others. Regarding our operations within Continental Europe, mostly. As you know, I think that we see something, we are a little bit more positive for '25 that -- or with at least less impact with these geopolitical conflicts. Having said that, at least with the current geopolitical conflict, but in the current momentum in the world, I don't know we see new problems. But year-on-year, relatively more positive with '25 versus '24.
Isabel Troya: Next question from [ Dunas Capital ]. What is your outlook for the French business? Is there any plan to reverse the situation and turn economic sales back to a positive path?
Íñigo Amusco: Okay. Regarding our outlook for the French business, as you know, to reverse the situation in the tobacco sector is almost impossible. This is a trend in the market for the tobacco with a lot of pressure from French government and with a very aggressive approach in terms of taxes increases to the tobacco. And in that context, there is not an option to reverse the situation. We can mitigate the impact and adapt our cost to the volumes. But other than that, I think within the strategy for the whole group, that's for sure that we are looking for opportunities in nontobacco activities in France as well. And as today, at least we have one opportunity that we are following very close, in this case is in the logistic solutions offering facilities and transport capacities and let's see what happens because it's an open process and we have to compete with others.
Isabel Troya: Another question as well from [ Dunas Capital ]. What is the expected contribution of the Recycle-Cig initiative in Italy?
Pedro Agustín Losada Hernández: Thanks, [ Juan ]. With respect to the recycle, we -- as a name, as a goal from Logista, in this case, Logista Italy, we try to provide for additional services to the clients and trying to bring some other EBIT with [ different ] business lines. In this case, even if it's small and not quite material, we are focusing on increasing our -- this recycling business. But at the end of the day, probably we are -- this means around 1% to 2% of the EBIT coming from Italy.
Isabel Troya: Last question from [ Dunas ]. Now that 52% of economic sales come from nontobacco-related activities, how are you managing the risk of a slower economic environment in Europe? What tools could you use to cope with this hypothetical cyclical risk?
Íñigo Amusco: Okay. Thank you, [ Carlos ], for your question. I think that modern tools is the strategy about this because that is clear until now. And for the time being, we have a very high exposure to tobacco first and then to the pharma sectors, which are noncyclical sector, we can say conceptually. But all the other business, you are right that we are getting more exposure to the cyclical or the cyclical risk, as you say. The question that we are trying to -- from a strategic point of view, to try to be focused in sectors that are less cyclical than other. For example, this is why through El Mosca, we have exposure to the food, which is less cyclical than sectors like the retail, fashion and others. But this is the only main decision that we are taking -- trying to avoid to change dramatically our current risk profile.
Isabel Troya: Now we have a couple of questions from Kepler Cheuvreux. First one is with the current information of taxes and retail sale price in key markets, which is the level of POI that you expect for 2025? Second would be, could you maybe detail which is the absolute impact from the synergies implementation in the acquired assets in terms of economic sales? And the last one is, in the case that net profit drops in 2025 due to lower POI and financial income, do you intend to increase your payout ratio to at least keep a dividend -- a flat dividend per share?
Pedro Agustín Losada Hernández: Thanks, Pablo. With respect to the first question. Well, let's -- there's different dynamics and realities depending on the country. So we know tax increases that is happening next year in France and Italy. And as I explained before, the risk in the case of Spain, based on the latest proposal to the Congress. Now the dynamic, as you know, is depending on the reaction from the tobacco manufacturers. We will see different impacts on POIs. It's too soon to see which could be the final impact for Logista. And as you know, it's nothing that is under our control with respect to the decision of the tobacco manufacturers to maintain or even improve the level of margins after tax increases. With respect to the second one on the synergies, we haven't given any details on synergies on a detailed basis from each of the acquisitions. But let us give you some color on what we are expecting, not in terms of economic sales, but more on an EBIT impact. Now that we are pretty much mixed up with the freight business in the case of El Mosca with parcel business. In the case of Carbó, what we will like to share is that what we are expecting in terms of synergies on an EBIT perspective, is something around EUR 6 million to EUR 8 million synergies on a consolidated basis for Logista and its acquisitions.
Íñigo Amusco: Okay, Pablo, regarding your third question in terms of the outlook on the dividends for the year. As I mentioned before, during our presentation, and it is key for us as today to keep the current dividend policy. We are aware, and the Board are aware, how important is for our current shareholders for new investors. But then the final decision has to be taken by the Board, but we assure you that the Board is completely aligned with the idea to keep the current dividend policy.
Isabel Troya: Next question from Bestinver. How do you see the evolution of transport volumes in Europe? What could we expect for 2025? And in relation to expected M&A is 2025  the year in which we can expect an operation of a similar size to El Mosca? Or is the focus still on bolt-on acquisitions? In which geographies could these operations take place?
Íñigo Amusco: Okay, Beatriz. Regarding your first question, the evolution of transport volumes in Europe. You already mentioned that we are -- as today, we are a little bit more positive for '25 than the number that we achieved in terms of transport volumes for '24, but let's see what happens. But as today, we are relatively more positive for the year. And in relation to your second question on expected M&A, I think that we are very open to consider the 2 ways that you mentioned. We are focused on bolt-on opportunities, but at the same time, we see companies of similar size as in El Mosca, you mentioned, why not to be focused on that as well. And in terms of geographies, as today, we are following opportunities in France, Poland, Italy and Spain.
Isabel Troya: Next question is from [ Cartecio ]. How much did the diversification strategy contribute to the growth of adjusted EBIT? And how much is total adjusted EBIT contributed by the new acquisitions?
Pedro Agustín Losada Hernández: Thanks, [ Jorge ]. So as you know, we are not spreading the impact of the new contributors to the Logista EBIT. We have shared some synergies that we are expecting, but be with us on this and for the next transaction, we have to give more data now is everybody -- everything mixed up with the rest of the businesses.
Isabel Troya: Thank you very much, everybody, for joining our call. That was the last question. There were some of the questions that we did not read that were repeated relating to DANA or other questions. And we are available for any further questions you may have via e-mail. Thank you very much.